Operator: Good morning. My name is Rachael and I will be your conference operator today. At this time I would like to welcome everyone to the Graphic Packaging Holding Company third quarter 2009 earnings conference call. All lines have been placed on mute to prevent any background noise. After the speakers’ remarks there will be a question-and-answer period. (Operator Instructions) At this time, I would like to turn the conference call over to Kevin Crum, Assistant Treasurer of Graphic Packaging; sir you may begin.
Kevin Crum: Thanks Rachael. Good morning, everyone. Welcome to Graphic Packaging Holding Company’s third quarter 2009 earnings call. Commenting on results this morning are David Scheible, the company’s President and CEO; and Dan Blount, Senior Vice President and CFO. I would like to remind everyone that statements of our expectations in this call constitute forward looking statements as defined in a Private Securities Litigation Reform Act of 1995. Such statements including, but not limited to statements relating to debt reduction targets, capital spending, fourth quarter cash flows, declines in raw material and commodity prices and the expected effect on the company’s results improvements in working capital, increases in sales volumes, the availability of the alternative fuel tax credit, additional Synergies from the Altivity transaction, consumer purchasing trends, pension contributions and the performance of our multi-wall bag business are based on currently available information and are subject to various risks and uncertainties that could cause actual results to differ materially from the company’s present expectations. These risks and uncertainty include but are not limited to the company’s substantial amount of debt, inflation of and volatility in raw material an energy costs, volatility in the credit and securities markets, cut backs in consumer spending that could affect demand for the company’s products, continuing pressure for lower cost products in the company’s ability to implement its business strategies, including productivity initiatives and cost reduction plans and the impact of regulatory and litigation matters, including those that affect the availability of the alternative fuel tax credit and the company’s net operating loss offsets to income taxes. Undue reliance should not be placed on such forward looking statements, as such statements speak only as of the date on which they are made and the company undertakes no obligation to update such statements. Additional information regarding these and other risks is contained in the company’s periodic filings with the SEC. David, I’ll turn it over to you.
David Scheible : Thanks Kevin. We are pleased with our solid third quarter financial results and overall strategic positioning of the business. Since our merger last year we’ve been able to drive meaningful improvement our profitability, our margins and our cash flow per debt reduction. In the third quarter we generated $147 million in operating cash flow and our pro forma adjusted EBITDA margins increased to 14.7% from 11.5% in third quarter last year. As a result, the adjusted earnings per share improved to $0.03 from a loss $0.02 last year through September we have reduced net debt by approximately $220 million and revised our full net debt reduction target to $326million. That includes alternative tax credits of $126 million. We continue to generate strong bottom line results as part of challenging macro environment, which is a present sale. Total sales in the quarter increased of 1% sequentially from second quarter of this year, but declined 8.1% year-over-year from the third quarter last year. When excluding the two divested mills post merger. Looking at our sales decline does not really tell the whole story given the differences in our Paperboard Packaging business and multi-wall bag specialty business segment for really are two stories. We saw double digit declines in our multi-wall bag in specialty business and that seems to hide a healthier story underneath in our core food and beverage folding carton Packaging business. If you look at folding carton trends, consumers are trending towards eating and drinking at home and that supports our center of the aisle mix in food multi-pack take home packages in both food and beverage. Folding carton sales increased 0.3% from second and decreased 3.4% year-over-year from the third quarter last year. Roughly half of this decline was due to our exiting sum of the end use markets like tobacco that really did not fit our long term plans for earlier this year. In general consumers are shopping on price and increasingly more private label mix. Manufacturers are doing lot less in specialty items and retailers are operating on overall much less inventory. We have seen growth in same SKU volume for a much lower level of activity in new launches than we historically experienced this time of year. As a result, the industry did not see the traditional back-to-school seasonal pickup in the third quarter. Inventory cycles are all time high levels as cash is being managed at all stages of the supply chain. Our food and consumer products business benefited from strength in products like frozen pizza, soaps and detergents, cereal and dry food. According to A.C. Nielsen industry data, the biggest gains occurred in frozen pizza category, up 8.3% and refrigerated foods up 4.4%. Cereal was also up year-on-year, but these product areas are in sharp contrast to more discretionary items like candy and luxury products, which showed year-on-year decline in our business. To all converted tons to our top 20 food and consumer products customers, which account for more than 80% of our consumer product volume, increased 1% year-over-year from third quarter last year, by comparison, the Paperboard Packaging Council reported about a 1.7% year-over-year decline in total third quarter folding carton, converted across the industry. Therefore, we believe our business is holding up relatively well in this tough economy. Food inflation, which increased steadily throughout 2007 and 2008 and exceeded 7% in fourth quarter of last year has steadily moderated in 2009 and in this quarter actually became deflationary. According to the U.S. Department of Labor CPI data in the key food and home category prices declined 0.7% in the third quarter of 2009, compared to an increase of 7.4% in the third quarter of 2008. Traditionally, we see that lower prices for these items translate to an increase in future demand for our food and packaging. Sales to the beverage markets were once again strong and benefited primarily from increases in domestic beer and carbonated soft drink categories. Looking at the year-over-year industry beverage volume, domestic beer increased about 1.8% and trended toward more cans and less premium brands. Carbonated soft drinks increased about 2%. Higher price sports drinks showed a year-over-year decline as consumers watch spending. In fact, tap water was the fastest growing beverage category and there’s not much packaging there. If you look at multi-wall bag, trends in this sector remain pretty consistent from Q2 and that segment declined about 23% versus the prior year period. It continues to be pressured by the conditions across the building and construction markets, as well as general manufacturing sectors they serve. As reported by the U.S. Department of Housing and Development, seasonally adjusted housing starts declined 28% from the September 2008 rates. These sectors are clearly struggling, but we did see a modest sequential pickup in this business from the second quarter. So we are more optimistic about the buying recovery in 2010 in this business. Our multi-wall bag and specialty businesses were negatively impacted by lower selling prices as well, primarily as a result of price declines relative to falling resin prices get passed through to customers. With volumes not likely to fully recover any time soon, we have right side these assets and reduced our capital investment in this business. As a result, the business is generating positive cash flow and a return above our average cost of capital. Let’s look at the mills. We are very strong quarter in board production. Tons per day continued to improve and we took no market related downtime in our core CRB and CUK mills. We continued to integrate tons in each of our businesses and total integration level is now running about 80%. Board pricing was up roughly 4% on SUS and down about the same on CRB from Q3, 2008 levels. Dan’s going to review the details, but we did take maintenance related downtime in our Macon mill this quarter that was taken second quarter of 2008. Additionally, I will remind you that we permanently idled our West Monroe No. 2 paper machine in 2008 to help match production with demand and we continue to have a focus on reducing overall inventory levels. Input cost has been an ongoing story in our business last year and in this. This year, we’ve certainly continued to see favorable sequentially and year-over-year trends in most of the major raw materials, including natural gas, virgin fiber and chemicals. Lower input cost benefits third quarter by about $29 million. As mentioned on our last call, however, OCC pricing is starting to pickup in the second quarter and this increase accelerated in the third quarter, but still continues to be much lower than last year at this time. More recently we have seen increases in wood prices, mostly as a result of one of the wettest falls in the southeast, impacting the availability of woods and chips. We did not have to curtail production in Q3, but we were forced to expand our wood basket particularly in West Monroe, Louisiana, to supply wood to the mill. Strategically, we remain focused on three key initiatives: One, improve our core operations by focusing in our key customer sectors. Two, grow the business by delivering innovative new products and improving our global footprint and three, generate cash flow to reduce debt to strengthen our balance sheet and improve our overall leverage ratios. I’m going to touch on the first two and let Dan cover the third. Over a year ago, we put in place very aggressive plans to reduce cost and streamline operations through Synergy and integration improvements with the Altivity combination. Our original plan, you’ll remember was to reduce cost by $90 million and for this process to run through 2011. In the fourth and third quarter this year, we generated $30 million worth of Synergies and year-to-date we have delivered $87 million overall in these integration related savings bringing our current annual revenue to over $150 million. In addition, recently we announced the plant closure of Fort Wayne, Indiana and Santa Clara, California pulling part in facilities, which will conclude the plant rationalization goals over 18 months ahead of our original schedule. I struggled with the recent plant closures in light of the current U.S. economy, but unfortunately they are necessary in light of the ongoing challenges we faced in our business. Let me summarize a little bit where we look at this integration plans. We are substantially ahead of where we expected to be and we’ve accomplished more. Since the merger, we have significantly reduced our manufacturing footprint by closing 11 converting plants, saving more than $25 million. We’ve improved our floor of production by raising our integration levels to 80% integrating nearly 70,000 tons of CUK, CRB and URB. We’ve improved productivity by reorganizing our work force and investing in an SAP system across our folding carton network resulting in reduced cycle times and lowering inventory levels by $50 million. We’ve reduced and simplified our procurement and transportation of key inputs saving over $50 million annually and streamlined the entire corporate and divisional support structures, reducing SG&A by $30 million. Cost reduction remains in on going focus and a necessary part of our business. We’ll continue to talk about cost reduction and continuous improvement initiatives throughout our future calls, but with our planned integration work mostly complete, we are going to refocus the integration team resources to further improve the core business through lean operating initiatives and Six Sigma practices. During Q3, in addition to our Synergies, we achieved continuous improvement of nearly $18 million, which exceeds the combined rate of Altivity and Graphic prior to the combination. We want to continue to enhance our low cost carton position across the industry and we will constantly assess and benchmark both with ourselves and externally to be the lowest cost possible. Let me talk about growing the business. This is an important initiative for us and while reducing costs are critical, we’ve also invested in our facility’s technology innovation. During the year, we made significant investments across our facilities, like our Kalamazoo, Michigan complex, where we spent over $30 million expanding our facility, installing two new presses, state of the art windowing and finishing equipment. I was at this facility recently and it’s impressive what they’ve been able to accomplish. It’s directly across the street from our Kalamazoo Mill and when the final press goes in later this year, we will use almost 250,000 tons of board directly across the street making cartons for cereal, cakes, tissue and other products. Our ability to develop innovative industry leading products is the key differentiator, and one that positions us well in a consolidating global market that demands both low cost and product innovation. While the current economic cycle has caused manufacturer to be much more conservative with new product launches, it’s still important driver in our industry and our business. During Q3, sales from new products introduced in the last three years in our technology platforms contributed $55 million to the top line. We had several successful new microwave offerings in the quarter, as Sara Lee moved to our patent even heating tray for simply sweet pie product. Great Value, or Wal-Mart’s brand, extended the use of our microwave technology for multiple serve frozen meals with four new SKUs aimed at value offerings to all families. They now have an entire line of multiple served frozen meals for consumer quick dining solutions using our microwave products. Kraft launched a new product with DiGiorno’s pizza line, utilizing our hotter susceptor technology. This low calorie product requires higher heats in the microwave to crisp, which mandates the use of a very special susceptor technology. ConAgra launched their transformer line of microwave french fries supported by a partnership with Burger King. This unique package designed for quick cooking in the microwave and transforms into a fry scoop that sits in a cup holder. Customers look to leverage the advantages of a solid fiber paperboard to reduce cost and improve sustainability versus corrugated and alternative structures. GPI offers a variety of solutions, depending on the supply chain challenges to match up performance with lower cost solutions. During the quarter we successfully commercialized new strength solid fiber packaging solutions like Z-flute at Sara Lee on their State Fair corn dog, Kellogg’s two pound honey graham, Frito Lay Smartfood, ConAgra 50 count Swiss Miss, and Kraft 5 count Velveeta Shells & Cheese snack cups. The breadth of these solutions, whether in the freezer or dry food sector at the local market or within a warehouse club, speaks to the flexibility of our solution set. In the third quarter, beverage growth was driven by commercialization in our international markets. In Mexico, we launched a variety basket for Coke Mexico with glass bottles of both, Coke and Coke Zero, as well as a two pack two liter promotional carton. I’m going to turn that over to Dan, to let him talk more about the detail relative to financial performance in the quarter.
Dan Blount: Thanks, David. Good morning, everyone. As David mentioned, third quarter results are solid. As they show continued improvement in our operating margins and continued strengthening of our balance sheet. In going through the detail today, I will start with cash flow, balance sheet and liquidity metrics, and then move to the income statement. The only pro forma adjustments included in my discussion will be to adjust both sales and EBITDA in the prior year to exclude the two mills that were divested as part of the combination with Altivity. This will provide you with an accurate year-over-year comparison. A reconciliation table detailing the pro forma, non-GAAP numbers is posted on our website. In the third quarter, net cash from operations was $147 million. This amount includes $46 million of alternative fuel tax credits. Excluding the credits, operating cash flow was $101 million, which is a $74 million increase over the prior year. This strong increase is principally driven by integration and continued improvement cost reduction initiatives and reduction of working capital levels. Through September, operating cash flow was $322 million. This amount includes $97 million of alternative fuel tax credits. Excluding the tax credits, nine month operating cash flow improved by $182 million over the same period last year. Generating strong free cash flow remains one of our top priorities and in 2009, not including the fuel tax credit. We expect to generate cash flow available for debt reduction of approximately $200 million. Capital expenditures were $30 million in the quarter and $96 million for the nine months. This compares to $43 million and $126 million in the comparable periods last year. The reduction in CapEx results from the completion of the majority of the investment and production assets, and SAP systems required to generate synergies from the Altivity combination. With integration nearing completion, we expect capital spending levels to moderate further in 2010. Now let’s turn to the balance sheet, leverage ratio and liquidity. Working capital levels continue to be a key area of focus. Through September, working capital has been reduced by approximately $50 million. Inventory reduction is the primary driver of the improvement. As we have permanently reduced the amount of inventory needed to run the business by further optimizing the supply chain and reducing the manufacturing footprint. As of the end of the quarter, net debt stood at less than $2.8 billion. This is a $220 million reduction since the beginning of the year. Our net leverage ratio improved to 5.2 times from six times at the end of 2008. With expected strong cash flows in the fourth quarter, we forecast year end net leverage to be below five times. Under the terms of our senior secured credit agreement, we must comply with a maximum consolidated secured leverage ratio. At September 30, 2009, this ratio was 3.44 times, which is well below our maximum allowable ratio of 5 times. During the quarter, we further extended our near term maturities by refinancing the remaining $180 million of 2011 senior notes with 9.5% senior notes due in 2017. We continue to operate with a low cost flexible debt structure and we now have no significant debt maturities until 2013. In terms of liquidity, at quarter end we had no borrowings under our $400 million revolver and $245 million of cash and cash equivalents. Total liquidity, net of letter of credit commitments, stands at $609 million. We intend to use a portion of our available cash to pre-pay debt. Turning to the income statement, total net sales in the quarter increased 1% sequentially over the second quarter and decreased 8.1% from the third quarter last year. This is the continuation of a fairly consistent trend this year as sales are down 7.4% on a year-to-date basis. The $93 million quarterly year-over-year decline in total sales breaks down as follows: $76 million from lowered volume and mix, $13 million from price declines and $4 million from foreign currency. To get a clear picture of top line performance, however, it is necessary to look at our major business segments as sales performance varies widely due to large differences and product offerings and markets served; first, our paperboard packaging segment, which accounts for 84% of total sales, and includes our folding carton and open market paper board businesses. In this segment, sales increased approximately 1% sequentially from the second quarter and declined 4.5% on a year-over-year basis. The year-over-year modest decline follows the same trend we have seen throughout 2009. In analyzing the segment further, we’ll separate packaging from open market sales. Sales in our consumer products and beverage packaging businesses, which represent 83% of paperboard packaging sales increased 0.3% sequentially from the second quarter and decreased 3.4% from the third quarter last year. As David has already discussed the market dynamics around our beverage and consumer businesses, I will just point out the percentage changes. The beverage business benefited from increased volumes and price, and had a year-over-year low single digit sales increase. The consumer products business decreased low single digits on lower volumes and flat pricing. The modest decrease in consumer product sales included the planned exit of low margin business. Open market sales of paper board roll stock and container board were down 18% primarily, due to lower volumes and lower pricing. Sales in our multi-wall bag and specialty packaging segments increased 2.1% on a sequential basis from the second quarter, and decreased 23.2% on a year-over-year basis. While we did see a modest increase in demand in the third quarter, the year-over-year decline is a continuation of the trend we have seen over the last several quarters. As David pointed out, this business generates a positive return on capital and is being run to maximize cash. Moving to EBITDA, in the third quarter, straight EBITDA was $178 million. To provide accurate period over period comparisons, however, we will use adjusted EBITDA, which excludes benefit from the alternative fuel tax credit and non-recurring charges related to integration activities. In the quarter, despite lower market demand, adjusted EBITDA margins increased to 14.7%. This is a 50 basis point sequential improvement from the second quarter and a 320 basis point improvement from third quarter last year. The strong improvement is driven by continued cost reduction in our paperboard packaging segment. The paperboard packaging segment had a third quarter EBITDA margin of approximately 18%. While the multi-wall bag and specialty segments EBITDA margin was relatively unchanged at 7%. In total, adjusted EBITDA for the third quarter was $155 million. This was up $7 million sequentially and $24 million year-over-year. The $24 million year-over-year improvement was made up as follows, $27 million net positive impact from performance improvements resulting from integration and continuous improvement initiatives, $16 million positive impact from lower input cost net a price reductions, $6 million of positive foreign currency exchange. Now, these improvements were partially offset by $18 million of EBITDA reduction driven by lower volumes and $7 million of EBITDA reduction resulting from the timing of maintenance related downtime taken in our Macon mill. The downtime was taken in the second quarter of last year. A few comments about input costs, as David mentioned, we generally saw favorable sequential and year-over-year trends in most of our major raw materials. This favorability improved our cost structure by $29 million in the third quarter. Offsetting this favorability was price reductions principally in our open market paperboard and specialty packaging businesses. As a result, on a net basis the positive EBITDA impact during Q3 was $16 million. Specifically in the key inputs, we experienced the following impacts. Energy costs were lower by $14 million. This was primarily driven by natural gas and an average of $7.30 per MMBtu, which is $4 less than the prior year. Our natural gas usage per quarter is approximately $2.5 million MMBtu. Year-to-date through our energy hedging program, we have averaged a cost of about $8 per MMBtu for natural gas. In terms of 2010, we have had 75% of our few one needs at $5.33. This is significantly lower than first quarter 2009, which had a rate of $9.80. Remaining 2010 natural gas needs have also been hedged at the rate of 20%. Fiber costs were lower by $12 million. This was primarily driven by OCC and $25 per ton lower than the prior year. Despite increasing OCC costs during 2009, we have experienced lower year-over-year rates. Chemicals and resin costs were lower by $12 million, drivers of this decrease included latex, caustic and resin. They commodities are highly correlated to crude oil and reflect the year decrease we have experienced. Our current projection for the fourth quarter is that the general trends will continue, although we may see some volatility and increased costs in secondary fiber and petrol related products. Finally, in terms of guidance, let me update a few financial targets that we laid out on our last call. Our net debt reduction target for 2009 is approximately $326 million. This target assumes the alternative fuel tax credit will end as scheduled on December 31. Through the end of October we have received cash and credits totaling $106 million and we expect to receive an additional $20 million through the end of the year. Our capital expenditure target for this year remains unchanged at approximately $150 million. Our cash pension contributions for 2009, has been updated to a range of $40 million to $60 million and we have made the majority of our required contributions for this year. We expect pension companies to be approximately $50 million. Improvements in working capital driven primarily from inventory reductions are expected to result in a $50 million cash improvement this year. Finally, while we are not providing a specific amount, we plan to use our growing cash position to make voluntary debt prepayments. With that discussion, I’ll now turn the call back to David for his closing comments.
David Scheible: Thanks, Dan. Strategically we continue to like the positioning as the largest holding current supplier of food and beverage in the United States. The integration plans have improved our footprint. They’ve improved efficiency of our operations, our ability to bring new industry leading products to compete globally, both on price and innovation. The defensive nature of our core food and beverage business makes it less acceptable to fluctuations in the economy, and this business continues to perform well in very difficult economic environment. While we remain cautiously optimistic that volumes have bottomed out, and we are moving in the right direction, we believe the improvement in volumes will likely be slowing gradual. Heading into the holiday season, consumer product manufacturers remain pretty cautious with their special and promotional items. As the economy gradually improves, we would expect to see our sales in the multi-wall bag and specialty business to accelerate more rapidly than our folding carton and packaging business. Thank you and I’ll turn it over to the operator.
Questions and Answers :
Operator: (Operator Instructions) Your first question comes from Bruce Klein - Credit Suisse.
Bruce Klein - Credit Suisse: Could you touch on just the contract pricing, if there’s a lot of in the near future and sort of I know old history was sort of done a lot of cost price or cost input formulated adjustments and I think the new policy you were able to achieve some cost recovery and sort of how that is going?
David Scheible: First the current contract that we had almost all of them have some sort of escalator or de-escalator clause, depending upon costs or board price movement in the market place. You’ve certainly seen that in pricing this year. This quarter, while pricing was down a little bit, it was almost all open market board pricing. Carton pricing was actually up in the quarter and that’s a reflection of flow through from 2008 cost. In 2010, I will expect the carton pricing to drop some because it will reflect the lower board prices that we’ve seen this year or input costs that have dropped down. So I mean that is the up and down, that’s why we have had such a strong focus on continuous improvement in synergy acceleration because clearly to improve our margins we’re going to need to do that in 2010.
Bruce Klein - Credit Suisse: Folding carton volume trends? I didn’t catch what it was in the third quarter and what your thoughts are going forward?
David Scheible: Yes so, in folding carton volumes in beverage we’re actually up a little bit in the quarter and consumer food business we’re down in the quarter about 4% or something like that, I think Dan said
Dan Blount: Yes, 3.4%.
David Scheible: 3.4%. It was interesting because what I said is that in our core SKUs we actually saw improvement, versus third quarter last year. Third quarter last year was a pretty strong quarter in volume in the food business. There was at that point in time we still hadn’t completely sort of figured out where the crisis was and there was still a lot of product going in the fourth quarter is when you really started to see consumers cut back, but cereal is up, the dry food was up, macaroni and cheese, those kinds of products, Pop-Tarts and were all up. What we did not see this quarter, that we traditionally see, between 1.5% of our business is really promotional activity. Third quarter is when back-to-school happens. We generally see new SKUs or extensions on SKUs. We saw really none of that for the most part, a lot of our new product activity was substituting other products or taking corrugated or flexible share, but really on a pure new product launch relative to SKU expansion, very little of that. That affected the volume in the third quarter as well
Bruce Klein - Credit Suisse: When the economy recovers more earnestly, you expect any reason that wouldn’t continue?
David Scheible: I would expect, it’s traditionally it’s been a lot of SKU improvement in promotional. I cannot see any reason why we wouldn’t expect our customers to continue to do that. I mean, we’re even starting to see some new product launches in the private label business because that business has grown and we have a good share in that business and so you’re starting to see some of those guys do some promotional activity as well. I think everybody’s pretty cautious about what’s going on. I mean, I love the equity and capital markets because they seem buoyant, but back in the heartland, where we’re making products and selling products, I will tell you, I think it’s sort of moving sideways or at least that’s the feel in our business.
Operator: (Operator Instructions) At this time there are no further questions, or there any closing remarks?
Dan Blount: No. Not at this time. Thank you, Rachael.
David Scheible: Alright see you next quarter.
Operator: Thank you for joining the Graphic Packaging third quarter 2009 earnings conference call. You may now disconnect.